Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Saputo, Inc. results for the Second Quarter 2015 Exercise. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded Thursday, November 6, 2014. I would now like to turn the conference over to Lino Saputo, Junior. Please go ahead sir.
Lino A. Saputo: Thank you very much, Sam.
Sandy Vassiadis: Good afternoon, everyone, and thank you for joining us today. A press release detailing our results for the second quarter of 2015 was issued earlier today and is also available, as we speak, on our website at www.saputo.com. This call is being recorded and will be posted on our website for future reference. I would like to specific that our listeners on the phone and on the Internet as well as journalists are on a listen-only mode. Members of the media or invited to ask their questions by phone after this call. Before we proceed, I'll remind you that certain statements that will be made during this call may constitute forward-looking statements within the meaning of securities laws. Caution should be used in the interpretation of such statements since management has made certain assumptions, including, among others, assumptions regarding projected revenues and expenses; and references to beliefs, expectations, objectives and strategies that are subject to a number of risks and uncertainties, which could cause actual results to differ materially from those presented in such forward-looking statements. For more information on these risks and uncertainties, please refer to the materials filed with the Canadian Securities Regulatory Authority, including our most recent annual report available on SEDAR. Any forward-looking statement made during this call is based on management's current reasonable estimates, expectations and assumptions, and we do not undertake to update or revise such forward-looking statement, except as required under securities laws. The speakers today are Mr. Louis-Philippe Carrière, our Executive Vice President, Finance and Administration; and Mr. Lino A. Saputo, Jr., our Chief Executive Officer and Vice Chairman of the Board. After a brief presentation, we will conclude the call with your questions. Louis-Philippe will now begin the conference, followed by Lino, Jr.
Louis-Philippe Carrière: Thank you, Sandy, and good afternoon. I will now present our results for the second quarter of fiscal 2015 in comparison to those of the corresponding quarter last fiscal year. Net earnings totaled CAD155.7 million, an increase of CAD22.4 million or 16.8%. Earnings before interest, income taxes, depreciation and amortization, EBITDA, amounted to CAD282.2 million, an increase of CAD41.8 million or 17.4%. EBITDA for Canada Sector totaled CAD106.8 million, a decrease of CAD9.9 million or 8.4%. In the Dairy Division Canada, higher ingredients costs and more competitive market as well as the delay in the completion in the new distribution center project located in Saint-Laurent, Quebec negatively affected EBITDA. These costs burned acquisitions slightly contributed to EBITDA. EBITDA for the U.S.A. Sector totaled CAD126.6 million, an increase of CAD28.7 million or 26.6%. Higher sales volume in the Cheese Division U.S.A., in addition to pricing initiatives, operational efficiencies and a decrease in operational cost increased EBITDA. During the quarter, combined market factors had a positive impact of approximately CAD10 million on EBITDA. Such market factors impact include a favorable realization of inventories, a favorable absorption of fixed costs and unfavorable spread and unfavorable average butter market price. The weakening of the Canadian dollar versus the US dollar had a positive impact on EBITDA for approximately CAD6 million. EBITDA for the international sector amounted to CAD28.7 million a CAD22.9 million increase. This increase is mainly due to the inclusion of EBITDA from the Dairy Division Australia for the quarter. EBITDA for the Dairy Division in Argentina increased as compared to corresponding quarter last fiscal year, mainly due to higher selling prices in the export market plus an increase operating costs for the quarter. Consolidated revenue was for the quarter ended September 30, 2014 amounted to CAD2.701 billion, an increase of CAD47.1 million or 21.1% in comparison to $2.230 million for the corresponding quarter last fiscal year. This increase is due to a higher average block market per pound of cheese as well as higher average butter market price in the USDA sector, the inclusion of the Dairy Division Australia and the international sector and the Scottsboro acquisition in the Canada sector. Higher selling price and higher sales volume in the USDA sector and a weaker Canadian dollar versus the US dollar. Net cash generated from operating activities about CAD201.2 million in comparison to CAD182.3 million for the corresponding period in the last fiscal year. During the second quarter, we invested CAD41.7 million in addition to property, plant and equipment. The issued shares as part of the stock option plan for a cash consideration of CAD9.4 million paid CAD22.9 million for the repurchase of share capital as part of the normal course issuer bid, reimbursed CAD44 million of debt and paid CAD96 million in dividends. The Board of Directors approved a dividend of CAD$0.13 per share payable on December 12, 2014 to common shareholders for record on December 2, 2014. Lino Junior will now proceed with the presentation of our outlook
Lino A. Saputo: Thank you LP, and good afternoon to all. This has been a solid quarter. Our overall numbers are ahead in comparison to this time last fiscal year. We've shown double-digit growth in net earnings, and EBITDA and in revenues. Each of our divisions has a strong management structure and maintains a devoted group of individuals who continue to push our business forward. Specifically, the Canadian Dairy Division continued to evaluate opportunities and possible synergies in an effort to improve and expand our product offering to customers. As an example, the recent Scotsburn acquisition has enabled us to increase our presence in Atlantic Canada and has aided our efforts to pursue volume growth. And it goes without saying we continue to search additional efficiencies to decrease costs, while strengthening our market presence. As part of our ongoing analysis of overall activities, during the quarter, we announced the closure of our plant in Trois-Rivieres, Quebec. Its activities will be integrated into other existing facilities. We have also reconsider our decision to close the Glenwood Alberta plant and recently announced it would continue its operations. This decision has been well received by employees and by the community. As for our projects to consolidate the distribution activities within the greater Montreal area into one distribution center, our previously planned completion date has been delayed from the first quarter of fiscal 2015 to the end of the fiscal year to ensure the optimization of the distributions integration. As for our US activities, following last year's capital expenditures in our Midwestern facility, and the closure of two US plants, we have begun to benefit from lower operational costs. With similar objectives, we continue to evaluate opportunities to improve efficiencies in both manufacturing and distribution functions across the US. In the cheese division, we will focus on gaining market share for our premium lines of snack cheeses and flavored blue cheese products. We also aim to keep on growing cheese export sales volumes and market with a collective effort between the US team and our international sector. In the dairy foods division, we will focus on volume growth by aligning ourselves with strong and growing customers and offering innovative products to the market. Our international sector will pursue sales volume growth in existing domestic markets as well as a the development of international opportunities. The inclusion of the Dairy Division Australia provides the sector an additional platform to seek long-term growth. We intend to accelerate expansion in Australia by making necessary capital investments and devoting resources to increased manufacturing capacity as we grow milk intake. Looking back past quarter, I'm confident we have the assets required to develop our retail, food service and industrial segments. And we maintain the capacity to adapt to market changes and regulations. Our current structure allows us to have well-balanced operations and creates the stability for each division to manage geopolitical challenges and economic climate conditions. I believe this strong results we've reported clearly demonstrate we have the right people, complemented with an ideal platform to further develop our local markets as we continue to increase our international footprint and becoming a high-quality global dairy processor. On that note, I thank you for your time and we will now proceed to answer your questions. Sam?
Operator: Thank you. (Operator Instructions) Our first question comes from the line Irene Nattel with RBC Capital Markets. Please proceed.
Irene Nattel – RBC Capital Markets: Thanks and good afternoon everyone. Lino, we continue to see the Canadian segment kind of bounce around a little bit in terms of performance. Can you just talk about what’s going on there and the various factors and the degree to which the competitive intensity is moderate versus perhaps a delay in the consolidation with distribution? The input prices, kind of all of that together, how should we be thinking about that?
Lino A. Saputo: Yes. Thank you for your question Irene. The Canadian Dairy Division has been hampered by a number of issues. The first and foremost, the competitive nature of the Canadian landscape. I've been talking now for probably three or four quarters about how the markets themselves are not growing. And in order for any of our competitors including ourselves to gain market share, it really would be to take volume away from someone else. That's not new to the Canadian business. However, changes in regulations that we saw in 2008 and other conditions would mean that there are limitations to just how far we can go at reducing some of the expenses within the footprint or the structure. Now we have made some strides at trying to lower our overhead cost. We have announced some client closures recently. In inclusion, we have the initiative of the Montreal DC. Ultimately when the Montreal DC will be in place and fully operational, those improvements that we had announced previously will be materialized. However, we need to make sure that first and foremost we are servicing our customers and our clients properly, which unfortunately we've had some hiccups on within the last quarter. And so we decided to take a much slower approach to getting to the end destination, making sure that first and foremost we're providing quality and service to our customers before thinking about those synergies or those operational efficiencies. So a number of different things happened this quarter. Competition, the lack of benefit that we derived where we expected from the DC. As well as higher ingredient cost that we faced this year with imported products, the ingredients that we normally use with the high international markets that affected us all in this quarter here. To answer your question in terms of how should we look at this Canadian business moving forward? I think one word would resume everything. Just stability. I think in terms of our sales volumes we continue to grow our market share both in fluid milk and cheese, but from an EBITDA perspective I would say that the margins would be very, very stable going forward.
Irene Nattel – RBC Capital Markets: That’s great. Thank you very much, and could you also just give us a little bit more color around the decision to leave that plant open?
Lino A. Saputo: I think you’re referring to the Glenwood plant and again this is an analysis related to the information we have at the present time. Now given the context of the industry back when we announced the Glenwood closure and given the context of the dairy industry specifically with milk surplus and our requirement for the plant of last resort services, we felt in order to best provide those services, to the milk marketing boards in Alberta, that that plant was better suited for us to be open.
Irene Nattel – RBC Capital Markets: Got it. Understood. And then finally, I can’t not ask, Lino, acquisitions?
Lino A. Saputo: Yes. Acquisitions again the forefront of our initiatives and our strategy. As I said before, we have actively anywhere from three to four files on our table that we are pursuing. No different now. I am very, very optimistic about the opportunity for Saputo to continue to grow through acquisitions. I see that there are – there still is quite a bit of runway ahead of us. I think there’s some real exciting times ahead of us.
Irene Nattel – RBC Capital Markets: That's great. Thank you.
Operator: Our next question comes from the line of Michael Van Aelst with TD Securities. Please proceed with your question.
Michael Van Aelst – TD Securities Inc.: Thank you and good afternoon. Just a follow-up to start with on Irene's question. Are you able to quantify the impact of the delay in closing the DC?
Lino A. Saputo: We can do that internally, but unfortunately publicly we have not disclosed that number. What I can say, Michael, is that at the end of this fiscal year, that DC will be completed, and the synergies that we identified early on in the project that we publicly told the market are still stand.
Michael Van Aelst – TD Securities Inc.: Okay. But would the cost have increased versus Q1 for that DC? Or is it market conditions that lead to the erosion in profitability from Q1?
Louis-Philippe Carrière: Well, it's essentially – and additional costs from Q1 because essentially the integration was planned to be finalized in Q1 and essentially been delayed for which going to be by step until the end of this fiscal year in March.
Michael Van Aelst – TD Securities Inc.: All right thanks for that. So moving on to the U.S., you talked about pricing initiatives. I'm assuming that a lot of that was at the dairy foods side where you had the big increase in cream costs. So I guess the question is, have you been able to fully recover the higher cream cost at this point? And to what degree do you believe that the higher prices can stick around as butter performance starts to fall off?
Lino A. Saputo: So the price increase just so I clarify was in both divisions. Both cheese and the dairy foods greater impact I would say on the dairy foods side than on the cheese side, but Michael as you know we do have a fixed price strategy on the retail side. With the high block market we did take a price increase on the fixed-price items. Smaller percentage and smaller impact to the U.S. results, larger impact was on the dairy foods side. We had the ability to quickly regain the increase in the input cost and raw materials, which is the cream better this quarter than we did in Q1. Moving forward, that cream market had since dropped dramatically. So I think that that would be favorable to the margin allocation for the Dairy Foods Division as we move forward.
Michael Van Aelst – TD Securities Inc.: So you think you can hang onto those higher retail prices then in the context of the market where the cream price – markets have fallen off so much?
Lino A. Saputo: Well, again, you got the input cost and then you got your rollout prices to customers. Typically what happens is there is what we call either a drag and lag pricing or a fixed pricing element based on formula. And it would follow the cream market, the problem we had in Q1 and at the beginning of Q2 was that the cream price was running up quicker than we can catch up to it. Coming into Q3, the reverse I think will be the trend. Where the cream prices have gone down, but we're still charging the lag price on cream – not that much to similar to what we saw and what we see sometimes on the block side where you got sometimes one week or three week lag pricing. We will see that effect on the dairy food side in Q3.
Michael Van Aelst – TD Securities Inc.: Perfect. Thank you.
Operator: Our next question comes from the line of Mark Petrie with CIBC. Please proceed.
Mark Petrie – CIBC World Markets: Yes. Good afternoon. I wanted to ask a couple questions about the International business. You’ve talked about how one of the critical factors for you and Australia is incenting farmers to increase milk supply. I wonder if you could just talk about the recent development there with regards to milk prices and what your outlook is for milk supply and your volumes over the next 12 months to 18 months?
Lino A. Saputo: Well, our volume in this last quarter has grown since the same time last year. And again, think there are some nice programs that we're rolling out, and this is just at the beginning of a lot of initiatives that we are talking about internally at WCB. With the David and his team and again we challenge our team to try and think outside the box to incentivize the dairy farmers to believe in the dairy industry and invest in the dairy industry for the long haul. If I look at the milk market prices, they are heavily influenced by the international pricing. So what we saw in Q2 was a decline in milk prices relative to Q1 if I compare quarter-over-quarter.
Mark Petrie – CIBC World Markets: And so I mean obviously there's a heavy competition for the milk supply in Australia. And you cut your prices in Q2. Did competitors follow and do you feel like that puts you at any disadvantage?
Lino A. Saputo: Well it is of market wide practice to follow the international markets so we are no different than anybody else. In fact, I would say that over the course of the last fiscal year, WCB was at the leading-edge of pricing practices. And so I think that that has been viewed favorably with the dairy farmers moving forward again beyond the price itself, we need to come up with programs and ideas that will allow the dairy farmers to believe in the industry for the long haul. And if there anyways that we can support the dairy farmers and investing in their infrastructure, those are the types of programs that I would like to entertain with our group of WCB.
Mark Petrie – CIBC World Markets: Okay, thanks, that's helpful. And obviously there's a lot going on with regard to supply and demand in the international markets, the Russian ban on exports from select – countries. Chinese inventories growing. I'm just wondering how this impacts along with the volatility in the milk price – how this impacts your own decisions with regards to selling and holding inventory.
Lino A. Saputo: Yes. Again. It doesn't change our long-term outlook for international platforms. And I've said this publicly many times before. That I believe that the demand of the dairy solids will by far outpace the supply. And so I think that if I look at – looking out the next 3 to 5 years, I think there will be more consumers than there are suppliers of dairy but within that of course there is going to be some volatility. Within the scope of what we can control, we certainly don't have any problem holding onto inventory if we need to hold onto inventory if the market prices are what we believe the value should be. So, again we take those decisions on a week to week month-to-month and quarter to quarter basis, and I think that we have performed extremely well because of that.
Mark Petrie – CIBC World Markets: Okay. And just the growth in inventory in the quarter was up 5%. Is that just – that's just a matter of what milk or cheese price being higher?
Louis-Philippe Carrière: A combination – you are referring to the inventory on the balance sheet?
Mark Petrie – CIBC World Markets: Yes.
Louis-Philippe Carrière: I would say a combination of exchange price on the market absolutely and certainly in some of the category iron inventory, but the vast majority is currency and log price.
Mark Petrie – CIBC World Markets: Okay. Thanks a lot.
Lino A. Saputo: Thank you, Mark.
Operator: Our next question comes from the line of Peter Sklar with BMO. Please proceed with your question.
Peter Sklar – BMO Capital Markets: Lino, back on the US business, your EBITDA was up 12% even if you take out the market factors. And foreign exchange. So that's pretty decent growth rate. You talked during the call about all these pricing dynamics, but I'm just wondering if there's any one item that's driving this growth in profitability in the US or is it just all of the things that you're talking about?
Lino A. Saputo: There's a number of initiatives that have helped us out of this quarter, it's not just one element. There are price increases for sure. I think some action at Dairy Foods have taken also in terms of getting in front of the cream price. But don’t forget also we announced the closure of two plants in the US, I think it was some time last year, which actually materialized over the course of this quarter, so we are actually producing more volume than we had historically with two plants left in our system.
Peter Sklar – BMO Capital Markets: Okay. And then if I could ask you about Argentina. In the MD&A you indicated that your Argentinian business is getting higher selling prices on its exports. Notwithstanding I believe that international dairy prices are down if you want to look year-over-year, so I'm just wondering why you got such favorable pricing out of the Argentine business.
Lino A. Saputo: Yes. And sometimes to make commitments to our customers will take contracts out and into one or two or three quarters. We are adjusting the benefit of those long-term contracts that are even though that the international prices are declining, we still have some contracts that we signed when the markets were high.
Peter Sklar – BMO Capital Markets: Okay. And then Lino, one last question. In the outlook section of the right up you say – you talk about with respect to the US division, you say the company will pursue initiatives to minimize any negative impact stemming from potential volatile market conditions. What are you referring to there? Some kind of hedging program you're contemplating?
Lino A. Saputo: Well, not necessarily a formal hedging program but an internal hedging program whereby if we can diversify our platform as we done over the course of last – say 10 years into 2004, 2005, 2006. We would try to find ways to naturally hedge. Again some examples of getting into the by product sector when we were only in cheese in 2006 – moving on to a good balance between the retail and the food service sales and then moving on to the Dairy Foods platform where if cream prices are high, it benefits us on the cheese side when we sell the excess cream. It's a hindrance to us on the Dairy Foods side when we are buying cream. Now that the markets are coming down while the reverse will happen. So those types of programs internally, either through CapEx allocations and/or through acquisitions where we can be better diversified, we create a more natural hedge internally.
Peter Sklar – BMO Capital Markets: Okay. I understand. Thank you very much.
Lino A. Saputo: All right.
Operator: Our next question comes from the line of Keith Howlett with Desjardins Securities. Please go ahead.
Keith Howlett – Desjardins Securities: Yes. I just on the butter fat issue or, how close to matched are you in terms of producing cream that cheese business and buying cream at Dairy Foods?
Lino A. Saputo: Yes. We are still a net buyer of cream. There – by a wide margin I would say. The cheese division does not produce nearly the quantity of cream that we require at Dairy Foods.
Keith Howlett – Desjardins Securities: And then just in terms of your cheese volumes are growing and the prices are extremely high, in the marketplace in the US, were you gaining share? Or was the market just going despite the high price or?
Lino A. Saputo: No. We were gaining share and again I talked about this if you recall Q1 of last fiscal year where we have lost some volume on the industrial side. And our focus at the time was to regain that market share, but not regain the market share by lowering our price. We are responsible players within our industry. We are certainly not the cheapest in the market. But we do provide a high quality with a high quality service. And our focus and our challenge – my challenge to our team was to regain that volume by providing a compelling argument for service and quality. And if that takes a little bit longer for us to regain that volume or pick up new volume, well, that that's what it takes. And I think that a year into this initiative and this program, I can tell you we've regained the volume that we lost and we've regained it at the right market prices.
Keith Howlett – Desjardins Securities Inc.: And then just in terms of the Australian business, do they also have contracts in the export market that would last one or two or three quarters?
Lino A. Saputo: The short answer is yes. So Australia, WCB also is benefiting from some of those contracts that have yet to expire.
Keith Howlett – Desjardins Securities Inc.: And what would be your view on the international market? Do you think – I know you have obviously better ability to gauge this than we do. Do you see it improving as we go through into 2015?
Lino A. Saputo: I would say going into 2015 towards the tail end of 2015 I think it will improve. What the economists are saying though that perhaps the first two quarters of the calendar year might still be a little challenging. By getting into Q3 calendar of 2015 market prices should recover.
Keith Howlett – Desjardins Securities Inc.: Great. And then just in terms of the snack cheese and the blue cheese, flavored blue cheese, are those strictly retail products or are they food service and retail?
Lino A. Saputo: Well, we are a strong blue cheese provider both at the food service and the retail. My reference to the categories and growth that I was talking about in initiatives were really retail oriented. So the initiatives and the programs that we're moving forward with on the snack cheese and blue cheese really are related to retail programs.
Keith Howlett – Desjardins Securities Inc.: Great. Thanks for a much.
Lino A. Saputo: Thank you very much, Keith.
Operator: And we have a follow-up question by the line of Michael Van Aelst with TD Securities. Please go ahead.
Michael Van Aelst – TD Securities Inc.: Thanks. Two clarifications. First of all, your comment that you think Canadian EBITDA margins will be stable going forward, is that relative to Q2 or is that year-over-year?
Lino A. Saputo: I would say year-over-year the EBITDA should be stable going forward, and again in the past historically, we had great innovative R&D programs that allowed us to improve the quality of the product and lower our cost. Unfortunately that's really pretty well not as progressive as we would like because of the new regulations. I think if we look at all of the initiatives that we've taken to date with respect to rationalization and function of the quota allocations we have that are provincially bound, we do have fewer and fewer fruits to pluck from the tree. And so given that the competitive market as well, I think what we're generating now and what we generated over the course of the last fiscal year into the two quarters of this year that should be our run rate going forward for the Canadian business.
Michael Van Aelst – TD Securities Inc.: So that would imply that Q2 Canadian results are a little bit of an anomaly on the downside.
Lino A. Saputo: I would say the Q2 would be anomaly on the downside. But I would say not far from what the run should be.
Michael Van Aelst – TD Securities Inc.: Okay. And then on the international, as far as these contracts that extend out one to three quarters on the pricing side, is that – can you give us an idea of roughly what percentage of your business would be captured under these contracts?
Lino A. Saputo: Unfortunately Michael, we don’t disclose that information.
Michael Van Aelst – TD Securities Inc.: Majority or minority? Can you at least give us that?
Lino A. Saputo: Sorry, Michael.
Michael Van Aelst – TD Securities Inc.: All right. Thanks a lot.
Operator: And we have a follow-up question by the line of Keith Howlett with Desjardins Securities. Please go ahead.
Keith Howlett – Desjardins Securities Inc.: I always hate to get into this topic, but on the milk/cheese spread, can you just conceptually – can you provide us guidance as to when it goes negative like this, it doesn't really seem why it doesn't have the effect one would think.
Lino A. Saputo: Yes. So the cheese spread for this quarter here I think we are at historic lows. I mean, it was especially for the Wisconsin spread, we saw a huge drop in this quarter here. Now again if you look at the results of the overall platform, not a whole lot of impact. So again, the cheese spreads themselves are only one element on many elements that would affect the profitability. I think really if you look at the U.S. business pricing initiatives, efficiency initiatives. If I look at other rationalization initiatives, those would have a whole lot more impact than just a cheese spread alone.
Keith Howlett – Desjardins Securities Inc.: Thanks very much.
Lino A. Saputo: All right.
Operator: We have no further questions. I will turn the call back over to you.
Lino A. Saputo: Thank you very much, Sam.
Sandy Vassiadis: We thank you for taking part in this conference call. We hope you will join us for the presentation of our 2015 third quarter results on February 5, 2015. Have a nice day.
Operator: Ladies and gentlemen that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line.